Operator: Welcome to the Fiserv Second Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, today's call is being recorded. At this time, I will turn the call over to Julie Chariell, Senior Vice President of Investor Relations at Fiserv.
Julie Chariell: Thank you, and good morning. With me on the call today are Mike Lyons, our Chief Executive Officer; and Bob Hau, our Chief Financial Officer. Our earnings release and supplemental materials for the quarter are available on the Investor Relations section of fiserv.com. Please refer to these materials for an explanation of the non-GAAP financial measures discussed on this call, along with a reconciliation of those measures to the nearest applicable GAAP measures. Unless otherwise stated, performance references are year-over-year comparisons. Our remarks today will include forward-looking statements about, among other matters, expected operating and financial results and strategic initiatives. Forward-looking statements may differ materially from actual results and are subject to a number of risks and uncertainties. You should refer to our earnings release for a discussion of these risk factors. And now I'll turn the call over to Mike.
Michael Patrick Lyons: Thank you, Julie, and thank you all for joining us today. As you've seen, we had a strong second quarter, fueled by our continued focus on Fiserv's mission of delivering superior value for our stakeholders through leading technology, innovation and excellence in everything we do. During the second quarter, we grew sales, clients and our new business pipeline. We announced several exciting new partnerships and acquisitions, introduced innovative capabilities, like FIUSD stablecoin and made solid progress on our key product initiatives, including Clover, Commerce Hub, CashFlow Central and Experience Digital, also known as XD. We did this all despite an uncertain macro environment during the quarter. For the second quarter, we delivered 8% adjusted and organic revenue growth and strong 16% adjusted EPS growth. We expanded our adjusted operating margin and generated good free cash flow. Importantly, we returned $2.2 billion to shareholders in the quarter by repurchasing 12.2 million shares or 26% more than we repurchased in Q1. And as Bob will cover later, we have increased our 2025 share repurchase guidance to approximately 130% of free cash flow. This means we expect to continue actively buying shares in the second half of the year, all while staying within our targeted leverage range. Before Bob walks you through our financial performance in more detail, I'd like to provide some color around the refinements we made to our guidance and share some important business highlights from the quarter. The 2025 guidance, which called for 10% to 12% organic revenue growth on top of the 16% growth we achieved in 2024, had always assumed a significant growth ramp on the back half of the year. This trajectory was based on the successful launch of a long and granular list of new products and strategic initiatives as well as a relatively strong macroeconomic outlook. Our updated guidance reflects the fact that some of those launches and initiatives are taking longer than we had planned. Some of that is on us and some is driven by other factors that we don't fully control, but we are confident that we will capture the full strategic and financial benefits and only the timing of realizing them has been extended. And to a lesser degree, our update reflects economic conditions that we have seen versus what had been assumed in the plan. As a result, we have refined our full year organic revenue growth guidance to approximately 10%, which is at the low end of our guidance range. And to be clear, we are maintaining our guidance for $3.5 billion of Clover revenue this year. With this revised ramp in revenue growth in the back half, continued margin improvement and the increased share repurchase guidance, we are also refining our adjusted EPS guidance by raising the bottom end of our range by $0.05. Looking ahead, I am incredibly energized by the opportunities we have to generate significant shareholder value over time by providing mission-critical software and value-added solutions for merchants, financial institutions, governments and other yet untapped markets. The construct of the company, our many leadership positions and our size and scale are unmatched, yet we are just scratching the surface of our global opportunities. When we put all these strengths together, the result is deep, long-standing client relationships that can be broadened and improved over time as we add more value-added products and services. This strategy produces highly recurring revenue, strong profits and substantial free cash flow that allow us to continue prudently and effectively allocating capital and generating double-digit adjusted EPS growth, a virtuous Fiserv cycle. Now let me turn to some of the highlights from our 2 business segments. In Merchant Solutions, we continue to execute on 3 key growth initiatives and are pleased with the progress we made on each in Q2. The first is driving Clover growth through new products, new markets, new partners and new geographies. The second is continuing to scale our industry-leading distribution through all channels. And third is adding new and existing enterprise merchant clients to our Commerce Hub platform and driving VAS penetration. Let's start with Clover, where Q2 volume growth came in line with our expectations at 8% reported and 11% excluding the gateway conversion. As a reminder, for operational reasons, we converted merchants from a non-Clover payments gateway to Clover ending in 2024. The 11% represents the growth rate of Clover without the converted portfolio. With respect to the second half of 2025, we expect Clover volume growth, both on a reported basis and excluding the gateway conversion to accelerate from Q2 levels. These levels are consistent with our plan to reach $3.5 billion in Clover revenue for the year. Clover revenue grew 30% in Q2, highlighting the strength of our full business operating system approach. There are 3 key contributors to Clover's revenue. First, VAS penetration of 24%, which was up from 20% a year ago. This was in line with Q1 levels and demonstrates good progress towards our year-end goal of 25%. Total VAS revenue grew 52%, driven by both software sales and capital, which includes Clover Capital and anticipation in Latin America. Second, hardware sales remained healthy and within the expected long-term range of revenue contribution. And finally, pricing and other services, including data. We expect our newer initiatives to support Clover revenue and volume growth in the second half of the year, so I'll update you on their progress. On the international build-out, we are ramping Clover merchants in all the geographies we added this year, Brazil, Mexico, Australia, Singapore and various countries in Europe, as we work to integrate the CCV acquisition, which added Belgium and supports sales in Germany and the Netherlands. The largest of these opportunities is Brazil, where we launched Clover sales in April and are tracking well to plan. And I'm excited to add that this morning, we significantly increased our presence in Canada, our largest Clover international market, with the agreement to become the merchant processing provider for TD Bank Canada. Going forward, we will jointly serve new TD merchant clients via the Clover platform, driving further processing, hardware and SaaS revenue. As part of the transaction, we also agreed to purchase a portion of TD Bank's existing merchant processing business, consisting of over 35,000 enterprise and mid-market locations. We've been live with Clover in Canada for over 5 years and have seen strong growth through direct sales and ISO partnerships. So the opportunity to further strengthen our distribution by aligning with the nation's second largest bank is tremendously exciting. We expect to close the transaction later this year. With respect to further international expansion of Clover, we are having constructive conversations with potential partners in several attractive markets. In Q2, our vertical software offerings got a boost with 2 market expansion efforts. In May, we launched Clover Hospitality for the upper restaurant market, which doubles our TAM in the sector. The product became available this month and presales activity has been encouraging. And earlier this week, we signed a new partnership with Rectangle Health to integrate a HIPAA-compliant SMB solution called Clover PracticePay for health care providers. This solution launches in early 2026 and marks a significant milestone for Clover, extending its reach beyond core verticals of restaurant, retail and personal services and into one of the country's largest, most in- demand and most rapidly evolving markets. SMB health care also represents one of the areas of greatest demand from our financial institution merchant partners. This agreement reinforces our confidence in the ability to scale Clover into additional verticals, where we can use our industry-leading technology or partner to design operating systems for SMBs across industries, creating additional TAM over time. We made further advances with our horizontal software solutions as well, continuing to develop Clover as a full small business operating platform. Since its launch in November, the ADP relationship has been exemplary as our sales, product and executive teams continue to find ways to optimize our partnership. We are making it easy for SMBs to access our combined suite of leading solutions on platforms they know and trust, Clover and ADP's RUN solution. In May, the ADP RUN software platform was integrated into Clover and the sales rollout is ongoing through August. ADP's sales force is generating Clover [ leads ] and vice versa, and they will be able to sell CashFlow Central as well by the end of the year. Earlier this month, we expanded our partnership with Homebase to integrate their market-leading software into our Clover Essentials SaaS package, allowing SMBs to manage employee scheduling, time tracking and team communication right from the Clover dashboard. For our second merchant initiative, we continue to invest in and expand our unmatched set of distribution channels, which is a key differentiator for Fiserv and Clover. This includes continuing to build out our direct sales force and expanding our financial institution merchant referral partner program. We have roughly 600 direct salespeople in the SMB space, and we continue to grow that team, most recently to support Clover Hospitality. Our merchant referral partner program also continues to grow. We added 49 new financial institutions as merchant partners in Q2, bringing our year-to-date total to 82. In June, we reached an agreement to acquire the remaining 49.9% of AIB Merchant Services, our long-standing and successful joint venture with AIB Bank in Ireland. We expect this change will open further opportunities for us to grow in both the enterprise space throughout Europe and with Clover. AIB will continue to work exclusively with us through a merchant referral program. In July, we expanded our relationship with Bank of Hawaii through a new revenue-sharing agreement that transitions their merchant portfolio to Fiserv, enhancing our economics while enabling the bank to elevate its merchant capabilities and broaden its client offerings. And as of last week, we're excited to announce that Clover is now part of US Foods CHECK Business Tools program, a program that recommends value-added solutions to their client base. Being a recommended technology vendor for US Foods, further bolsters our Clover distribution and helps accelerate our restaurant strategy, including Clover Hospitality. Our third initiative is in our enterprise business, where we were excited to sign UPS as a client in Q2. We will be providing a suite of payment products operating on our Commerce Hub platform to the UPS store to support their 5,400-plus locations in the United States. As a follow-on to our Fanatics sportsbook win last quarter, we've expanded our relationship with Fanatics Commerce, extending our Commerce Hub and value-added services solutions to support their online retail operations. On the enterprise BaaS side, we signed a multifaceted partnership with Adobe, where Fiserv will be utilizing Adobe's industry-leading marketing automation tools to drive lead generation within our commercial mid-market segment. Additionally, Fiserv has been named a goal partner in Adobe's partner ecosystem, supporting the rollout of our newly launched Commerce Hub plug-in built on Adobe Commerce. Commerce Hub is now live across North and South America via a single integration point for multiregional customers, and we expect our first major client to go live on this platform shortly. We continue to make progress towards the integration of other international markets behind the Commerce Hub API on our way to a single global platform. And lastly, our biller business is performing well with a growing pipeline. In Q2, we signed a leading insurance provider, Erie Indemnity Company, on the strength of the value-added solutions we've been adding to the platform. Now let's move to the Financial Solutions segment, where we are focused on 3 key initiatives: gaining leadership in issuing payments and banking, driving adoption of CashFlow Central and XD and advancing cross-Fiserv solutions. On the first initiative, we are pleased with our continued momentum in the issuing business with new clients and data initiatives, offsetting a more moderate pace of growth in active accounts, relative to the expectations we had built into our guidance. We believe this reflects some macro uncertainty as consumers and issuers effectively manage their risk. We continued our long-standing partnership with Synchrony, one of the largest consumer finance companies in the U.S., working to implement their strong pipeline of new products and capabilities, including a new program to become the exclusive issuer of OnePay credit cards at Walmart. America First Credit Union, a $22 billion Utah-based institution, on a journey to modernize and bring the next generation of innovative credit and debit products to its members, selected Fiserv for issuer credit processing, tokenization and additional services. We also continue to expand our government business as the federal government increases its adoption of card and digital payouts. And finally, we were pleased to extend our contract with Jack Henry, a long-standing partner for issuer processing via Valero. Outside the United States, we extended our long-term relationship with DBS, the largest bank in Southeast Asia, signing a multiyear contract extension, including modernizing their credit card technology stack. We made meaningful progress in Q2 on our card issuing platform modernization with both Optus and Vision Next. Optus, which serves 25 of the top 50 issuers in the U.S. and many of the leading retail private label players, is in the midst of a multiyear upgrade with our first client set to go live later this year with new Phase 1 capability. Meanwhile, we expect to launch our next-generation cloud-native global issuing platform, Vision Next, in Q4. We will integrate Vision Next with Finxact and Payfare, to provide a unified next-generation embedded finance solution. In banking, our cloud-native open API core platform, Finxact, continues to gain momentum with banks, fintechs and embedded finance participants. In Q2, we signed 3 significant contracts, including a prominent sponsor bank that supports multiple well-known fintech companies and a large health care finance company looking to provide banking services to health care payer and provider clients. Turning to our next initiative around CashFlow Central and XD growth. We remain highly encouraged by client interest, signings and the size of our pipeline. CashFlow Central signed 23 new clients this quarter after 15 in Q1, for a total of 77 clients added since launch, and we have nearly 500 more in the pipeline. Earlier this month, our largest client signed to date, U.S. Bank, became the second bank to go live on CashFlow Central. Melio, our key partner for CashFlow Central and a portfolio investment for Fiserv, announced an agreement in June to be acquired by Xero, a popular SMB accounting software provider. We expect Melio to operate as an autonomous business unit within Xero with strong alignment and incentives to deepen the Fiserv partnership. Xero has expressed full support and enthusiasm for a shared future with Fiserv, and we are very excited to work alongside them. While demand for XD remains strong, we have not completed as many client implementations as we had planned so far this year. We continue to feel great about the quality of XD, it is just a matter of timing and realizing the revenues as we complete key enhancements and integrations and pursue high-quality implementations. For example, in Q2, as we integrated merchant digital acquisition into XD, helping bank partners identify merchant acquiring leads through online banking and creating a new channel for Clover acquisition in our partners' digital environment. We are seeing great interest in this feature. Our third initiative is to advance cross-Fiserv solutions, and our announcement of FIUSD in June is a great example of our capability. FIUSD is a white label stablecoin integrated into our banking and payments infrastructure to enable real-time 24/7 settlement in digital asset capabilities. To reflect this, we combined assets across our businesses, including Finxact, Payfare and Commerce Hub and began working with industry-leading partners like PayPal, MasterCard, Circle and Paxos. The move reflects our broader strategy to support all payment types, while helping financial institutions and merchants meet evolving customer needs and technology developments. Early client interest has been very encouraging, and we expect to launch a pilot with several clients by the end of 2025. Overall, I'm encouraged by our positioning and opportunity set as I look out over the next several years. We are hard at work fine- tuning our strategy carefully listening to our clients and investing for where we think the industry is headed. We are privileged to have a leadership position across many of our businesses, and we are confident we can deliver consistent, durable growth and value to our shareholders. I look forward to diving into my first annual strategic planning cycle with the Fiserv team in the coming weeks and to sharing more with you on how we'll extend our leadership into the next generation of commerce, payments and financial technology. Finally, I want to thank our talented employees for their continued hard work and commitment, which contributed to our achievements this quarter and to Fiserv being named one of TIME100 Most Influential Companies. With that, I'll hand the call over to Bob, who will share more on the financials.
Robert W. Hau: Thank you, Mike, and good morning, everyone. If you're following along on our slides, I'll cover additional details on total company and segment performance, starting with our financial metrics and trends on Slide 4. We delivered another strong quarter, highlighting our consistent ability to grow revenue and expand margin. Second quarter total company adjusted revenue grew 8% to $5.2 billion and adjusted operating income grew 12% to $2.1 billion, resulting in an adjusted operating margin of 39.6%, an increase of 120 basis points versus the prior year. For the first half of the year, adjusted revenue grew 7% to $10 billion, and adjusted operating income grew 11% to $3.9 billion, resulting in an adjusted operating margin of 38.7%, an increase of 150 basis points versus the prior year. Organic revenue grew 8% in the quarter, driven by solid performance in both segments. Through the first 6 months, organic revenue also grew 8%. Second quarter adjusted earnings per share was $2.47, compared to $2.13 in the prior year, up 16% and in line with our full year growth guidance of 15% to 17%. Year-to-date, our adjusted earnings per share increased 15% to $4.61 compared to $4 in the prior year. Free cash flow for the quarter was $1.2 billion and $1.5 billion for the first half of the year. As we said in previous earnings calls, we expect an increase in free cash flow in the back half of the year, which reflects typical seasonality for us, including the timing of inflows related to the green tax credit initiative. We continue to expect approximately $5.5 billion of free cash flow. Turning to performance by segment. Starting on Slide 5. Organic revenue growth in the Merchant Solutions segment was 9% in both the quarter and year-to-date. This compares to 28% growth in Q2 '24 when excess inflation and interest in Argentina and the Dolar Turista program contributed 12 points of revenue organic growth. Inflation and interest rates in the country are now below the 5-year historical average and the Dolar Turista is much smaller than the prior year. Adjusted revenue growth in the Merchant Solutions segment was 10% in the quarter and 8% year-to-date. This growth includes $55 million in inorganic revenue from the CCV acquisition in Europe, partially offset by an FX headwind. Moving to the business lines. Small business organic revenue growth in the quarter was 9%, while adjusted revenue grew 11% and 9% volume growth, which includes volume from our recent acquisition. This performance was largely driven by continued strength in Clover, supported by direct and partner sales, expanded vertical coverage and continued strength in the adoption of value-added services that reinforce Clover's role as a full business operating system. Clover revenue grew 30% in the second quarter on annualized reported payment volume growth of 8%. Excluding the gateway conversion, the volume growth in Q2 '25 was 11%. And on Slide 6, as Mike said earlier, we expect volumes to accelerate in the second half, driven by a number of strategic initiatives, putting us on track to deliver at least 9% reported volume for the full year and at least 11% growth, excluding the gateway. The gateway impact to reported volume growth was a little over 3 points in Q2 and is expected to decline gradually through the second half and beyond with the magnitude dependent upon retention of the converted merchant base. VAS penetration stayed constant sequentially at 24% and was driven by our working capital products, Clover Capital, rapid deposit and anticipation. We remain on track to meet our 2025 target of 25%. Non-Clover SMB revenue grew a low single-digit pace. Enterprise organic and adjusted revenue growth in the quarter was 12% and 8%, respectively, driven by transactions growth of 14% and continued traction with Commerce Hub. We continue to advance e-commerce capabilities within the platform. For instance, this quarter, we delivered a hosted checkout experience, which redirects a customer to a secure branded checkout page. Merchants can customize the page design using the Checkout Configurator tool. We also expanded our optimization via AI and machine learning, helping our clients to recover declines and increase savings through intelligent routing. Finally, processing organic and adjusted revenue in the quarter grew 5% and 7%, respectively, driven in part by hardware sales as well as an easier comparison as we start to lap the impact of strategic changes by clients who exited certain types of business. Year-to-date, processing organic and adjusted revenue are both down 1%, similar to our guidance for roughly flat organic revenue over the medium term. Second quarter adjusted operating income for the Merchant Solutions segment was up 4% to $914 million, and adjusted operating margin was 34.6%, down 200 basis points from the prior year. Year-to-date, adjusted operating income for the segment was up 4% to $1.7 billion, with adjusted operating margin down 100 basis points to 34.4%. The decline in Q2 adjusted operating margin reflects multiple factors, including investments in marketing and sales and distribution, the impact of the CCV acquisition and increased investments in new software and hardware. Turning to Slide 7 on the Financial Solutions segment. Organic revenue grew 7% in the quarter and 6% year-to-date, in line with our full year outlook of 6% to 8%. The quarter's results were driven by strong growth in issuing and digital payments business lines. Looking at the business lines, digital payments, organic and adjusted revenue each grew by 6% in the quarter. Results were driven by strong growth in Zelle transactions, up 19%, partially offset by lighter debit card spending. Demand for real-time payments continues to rise and our STAR and ACCEL debit networks are seeing increasing transaction volumes as they continue to add cards. In issuing organic and adjusted revenue grew 13% and 14%, respectively, in the quarter. This above-average growth was driven by sales of our data and analytics, which is relatively new offering in its early stages of commercialization. While we're excited about our long-term prospects here, revenue is expected to be intermittent as this project-based market matures, and will not drive this level of consistent revenue growth each quarter. New verticals such as health care and government continue to ramp, while our education loans business just completed a migration cycle for a new portfolio of accounts. As a reminder, while Q2 represented our first full quarter of revenue since converting the Target Circle Card portfolio in March. That growth was offset by the loss of a large retail card portfolio as that client was required to move to its bank's processing partner. Banking organic and adjusted revenue was flat in the quarter, reflecting 3 primary trends: first, some slower-than-expected implementations; second, less activity in the market; and third, some greater pricing competition in particular areas, which has been heightened by slower activity. We continue to make progress on our core strategy. With Finxact, we see strong growth opportunities in embedded finance, international banking and the potential for a large bank core upgrade cycle. And as we've said in the past, the nature of this business line is such that it will be slower than average segment growth, but drive growth in other business lines. Second quarter adjusted operating income in the Financial Solutions segment was up 14% to $1.2 billion, and adjusted operating margin was 48.7%. Year-to-date, adjusted operating income for the segment was up 14% to $2.4 billion with adjusted operating margin of 310 basis points to 48.1%, reflecting the high-margin data and analytics projects, mostly in Q2 as well as cost and efficiency actions. Now let me wrap up with some remaining details on the financials. The corporate adjusted operating loss was $99 million in the quarter and $249 million year-to-date in line with our expectations. The adjusted effective tax rate in the quarter was 18.9% and 18.5% for the first half of the year, and we continue to expect the full year rate to be approximately 19.5%. Total debt outstanding was $29.6 billion on June 30. Our debt-to-adjusted EBITDA ratio was steady at 2.9x within our target leverage range of 2.5 to 3x. During the quarter, we repurchased 12 million shares for $2.2 billion, bringing our total cash returned to shareholders for the last 12 months to nearly $6.9 billion. We had 56 million shares remaining authorized for repurchase at the end of the quarter. As Mike said, we now expect to return more cash to shareholders this year through share repurchases, reflecting our strong balance sheet and cash flow and a disciplined evaluation of the opportunities in front of us. We previously expected to return approximately 110% of free cash flow back to shareholders through share repurchase, and we now expect to return approximately 130%, which aligns to the upper end of our targeted leverage range. We are raising the bottom end of our adjusted earnings per share guidance range to $10.15 from $10.10, while maintaining the high end of the range at $10.30. The change reflects the refining of our organic revenue growth expectations to the bottom of our prior guidance range, offset by the benefit of higher share repurchase activity. We continue to expect an acceleration in organic revenue growth for the second half of the year particularly in the Merchant Solutions segment. Based on this, we expect both segments to grow towards the low end of their guidance ranges for organic revenue growth with Merchant Solutions towards the low end of the 12% to 15% organic revenue growth outlook for the year and Financial Solutions organic revenue growth at the low end of the 6% to 8% range. The net effect will be expected total company organic revenue growth of approximately 10% at the bottom end of our original guidance of 10% to 12%. Lastly, we're modifying our adjusted operating margin guidance by 25 basis points, guiding to approximately 100 basis points rather than at least 125 basis points of adjusted operating margin expansion this year. The change reflects the projected impact of the 4 recently completed acquisitions, the refined organic revenue growth rate and investments to support new product launches and implementations. We anticipate margin improvement on these acquisitions as we work through integration and synergies that will benefit next year and beyond. With that, I'll turn the call back to the operator to start Q&A session. Operator, let's open the line for questions.
Operator: [Operator Instructions] Our first question comes from Timothy Chiodo from UBS.
Timothy Edward Chiodo: I want to start by digging into Clover Capital a little bit more. So you've talked about being meaningfully underpenetrated versus some of the peers when we look at Toast and Square, we would agree that you are well below their penetration levels in capital. Could you talk a little bit about some of the activities that you're doing to unlock that TAM? In other words, we gather that with some of the wholesale ISOs or potentially bank partners, you're not able to access the full set of merchants to sell them Clover Capital, and we gather there are things that are happening to help unlock some of that. Maybe you could put some context around that level of penetration today and where you could see it getting to over the medium term.
Michael Patrick Lyons: Yes. Thank you for the questions. It's Mike. First of all, we were pleased with the progress we made in Clover this quarter, continue to be on pace for $3.5 billion of revenue this year. And the growth plan around that, as we said, over the last several months is a combination of horizontal expansion, added Homebase this quarter, vertical expansion. We did Rectangle, which we're thrilled with to take us in to the health care space, launched Clover Hospitality earlier in the quarter, geographic expansion in the markets there and then building out the distribution channels. We talked about US Foods, the agreement with TD and then in and around operational excellence within the products where we think we're the most underpenetrated, as you pointed out, is Clover Capital. And the essence there is if you go into both our non-Clover SMB base and our Clover SMB base, very low penetration. We take -- we're very prudent with our risk management there. And then there are a number of practices that we put in both on the behaviors and on the -- in and around Clover Capital in terms of how we go about making the offers operationally, how do we negotiate with our merchants, how do we present those and how do we price those, made a number of refinements beginning this quarter, but we're just at the beginning stages of a much more holistic thought process around Clover Capital. And ultimately, we think there's a lot of ground to take within our current risk appetite and then over time, whether you can expand that risk appetite some. We obviously, given the penetration rates, we are taking less risk today than our competitors are. So we think it's a value-added product to our merchants. They like it. They depend on it. We think the TAM there is significant, and we're going to make a series of operational pricing and risk management decisions over the next coming months and quarters, and we think the progress will be good there. But what came into this quarter was we're just at the very beginning efforts of that.
Operator: Next, we'll go to the line of Darrin Peller from Wolfe Research.
Darrin David Peller: Look, the overall growth rates on the business continue to be sound, but I think there's an expectations change occurring that investors are digesting right now. So maybe just help us understand a little bit more specifically what changed from the beginning of the year until now on the merchant growth rate? And again, just reiterate, Bob, if you can, the merchant margins. And just help us understand the building blocks for Clover growth and overall merchant growth, both, if you look at the Clover volume side, why is the adjusted versus reported volume still different in the second half? And then more importantly, just looking at Clover revenue, if you could break down hardware, VAS, payments for the rest of the year growth rate-wise and the conviction you have around the guide for the rest of the year?
Michael Patrick Lyons: Yes. It's Mike. I'll start. Just on the overall organic growth rate for the company, we obviously refined to approximately 10% from 10% to 12%. Just a couple of comments there. I've been in the seat for about 10 weeks now. I've had the opportunity to better understand the key drivers of our business, the status on the strategic initiatives and then what was embedded in the full year guidance. And that full year guidance always anticipated a big ramp in growth in the back half of the year based on the rollout of a whole bunch of projects and initiatives. It was a granular list. It's a very strong list that we had the ability to re-underwrite, study all of our initiatives, and they are great initiatives. It's just a matter of the timing of getting them to market. So as I said a minute ago, we're still confident we'll get the full financial and strategic benefits of all those initiatives. And it's just a matter of timing. And again, we feel very good about them. The pipelines around the products that we're coming to market with are very strong. The clients want them. The technology is good. So we feel very good about it. So the refinement from 10% to 12% to 10% is just having the benefit of 6.5 months into the year, understanding where we are in those product rollouts and then importantly, understanding how we want to roll them out with the quality which we want to roll them out. So forecast from here indicates back half of the year growth of 12%, which led us to -- at the original range at the lower end of that original range. And that's the type of transparency we want to give you as we go through the year and see stuff and are able to narrow the range and the variability around it. So going into a couple of products.
Robert W. Hau: Yes. Darrin, you got a multilayer question there. I think first, I'll attack the question around the Clover growth rate. And we reported a 30% growth rate in terms of revenue, an 8% reported volume adjusting for the gateway at 11%. So continue to see good overall revenue growth, and that's certainly supported by an acceleration of volume. As you know, Clover is a hardware and software solution. It's a business operating system. Volume certainly is an important part of it, but there's lots of revenue in addition to that, and that's where we get into that spread, so to speak, between volume and revenue. Volume continued to grow this year -- or excuse me, this quarter. We also see increasing benefit of value-added services, a 24% VAS penetration. That's actually a greater than a 50% growth rate just on the VAS line. And that VAS, as you know, is software plus our working capital. We continue to see good growth in our working capital solutions, and that's rapid deposits, Clover Capital and anticipation. And so we're seeing good opportunity there. We expect that to continue. We are certainly focused on growing volume, signing up more merchants, but we're also focused on selling the full operating system. That's hardware and the value-added services, and we're seeing the benefit of that. In terms of merchant margin, in the second quarter, we did see margins come down about 200 basis points. First and foremost, that's against a pretty tough comp last quarter -- excuse me, Q2 of last year was up quite meaningfully. And if you look at Q2 2025 margin of 34.6%, that's up 90 basis points from where we were 2 years ago. We continue to see opportunities to grow margin, to grow the merchant business, and we continue to invest in that business. Again, in my prepared remarks, I talked about some of the investments we made in the current quarter around marketing and sales, distribution. We're seeing good growth in our ISV business as well as our direct business as we build out capabilities there. Certainly, an impact of the acquisition of CCV. That one just closed at the very tail end of Q1. And as you know, the vast majority of our acquisitions that we do over time, they come in at below company average margin. We bring them into the business. We grow them on a scale across the scale business. We improve them through integration and synergies and those margins expand. But we're essentially 90, 120 days into that acquisition, and that's certainly an impact from the overall merchant margin in the quarter. And then last thing I'd talk about is an increase in investments in both software and hardware. We talked a little bit about some of the new vertical software we launched last year. We've got Clover Hospitality. If you think just about the announcements today of things that have transpired over the last 90 days, new partnership with Homebase, which is an expansion of our horizontal software capability, new announcement with Rectangle Health, adding a new vertical in health care, the TD partnership, the partnership with Adobe, all of those take investments both in product development, implementations and go-to-market. And so we're investing behind those new growth opportunities.
Operator: Next, we'll go to the line of Tien-Tsin Huang from JPMorgan.
Tien-Tsin Huang: Just wanted to get a little more detail on what initiatives are being extended exactly. And I think, Mike, you mentioned that some of it was on Fiserv. Can you elaborate on that and what you're doing to address it? Is it a budgeting issue? Or is there something more specific to that? Just trying to like Darrin ask, give a little bit more understanding on your conviction on the new outlook.
Michael Patrick Lyons: Yes. As I was just saying, we went into the year, the year was built on a back half of the year plan with a lot of granular, very attractive, very compelling initiatives, no major 1 or 2 items, but a very long list of initiatives. And as you go through the planning and have the benefit of half the year and you look at where the rollout of those initiatives are in terms of timing and how we want to do it in terms of quality for the client, scalability and a client-first mindset. And then you roll forward the rest of the year, it puts us at the bottom end of the original 10% to 12% range just in getting those products to market and realizing the revenues. There isn't a quality issue with them. It's not products that have gone to market and not generated the revenues we thought it's just getting the products to market. And as I said, some of that we control. We can execute faster, better, greater sense of urgency and some of it we don't because we're integrating with partners, contract signings, how do people respond to an uncertain macro in the second quarter, obviously, more clear now. So lots of factors that go in there. what we did with this is we said when you look at our most current plan in the rest of the year, we're confident that we've captured what we will roll out and realize in revenues this year. And then importantly, as you go forward, all of those initiatives, as I said, we've had a great chance to re-underwrite them, restudy them, and they're good. They're really great products, whether we're redefining how small businesses manage cash with CashFlow Central. We're resetting the parts of how small businesses run their businesses off the Clover platform and the attributes we're going to there. We're introducing a digital payment trail, FIUSD. These are all great products resetting our digital platform in banking. So we like all the products. It's just we're giving you the most updated look on timing. And obviously, when we started the year, you give a wider range. And as you go through the year and get a better sense of where things are, we're able to narrow the range a little. I think to a lesser extent, we started the year with some macro assumptions around certain activity levels in parts, more so in the FI business where card accounts on file would rebound off a cyclical low. You'd see greater activity in certain of the digital payment sites and maybe a faster and more robust upgrade cycle in certain parts of core and surround bank technology. And obviously, while it's strong today, the economy has taken an uneven path to get here, and we just factored that into the future outlook. Hopefully, that helps.
Robert W. Hau: Tien-Tsin, I think the way I think about it is our original guidance at 10% to 12%, our baseline plan was midpoint, 11%. To get to 12%, we factored in the opportunity for a slightly better macro environment, a little bit faster business, some of the credit and course surrounds that Mike just talked about that would have gotten us a little bit faster, stronger would have gotten us to the top end. And now that we've seen a bit choppier recovery in the macro economy, a little bit slower on the initiatives, again, both on things inside and outside of things in our control and outside our control, a little bit slower, puts us at the bottom end of the range, which is what we're guiding to at this point.
Tien-Tsin Huang: Really quick. It sounds like it's not just 1 or 2 initiatives, it's several initiatives and you're just lowering the curve of growth expectations across all of that, if I got that right.
Michael Patrick Lyons: Yes, that's right.
Operator: Next, we'll go to the line of Harshita Rawat from Bernstein.
Harshita Rawat: Bob, Mike, I want to follow up on merchant operating margins. I know you talked about some of the drivers there on the mix with respect to sales and marketing investments, CCV and product investments. The margin miss was a bit of a surprise. So it would be very helpful if you can quantify some of the drivers and maybe also talk about cadence from here? And also, was this kind of merchant margins in line with your expectations for the quarter as you were kind of thinking about it from, say, 3 months ago?
Robert W. Hau: Yes, Harshita. So from a total company margin outlook, as you heard, we've revised our guidance for the full year previously, at least 125 basis points to now approximately 100 basis points. Certainly, an impact. Again, this impacted merchant margin in the quarter, but also impacted full year outlook as we get 9, 10 months of revenue from those acquisitions. I specifically talked in an earlier question about CCV, but we have 3 other acquisitions that just recently closed, call it, the last 90 days. And as you add that business, call it, order of magnitude, $200-plus million of revenue at below company average, that certainly weighs on the overall margin. And add to that, that we're now at a 10% organic growth, so we don't have quite as much volume to help override or offset some of that external -- some of that M&A activity caused us to take the full year down from that 125 to 100 basis points for the full year. In terms of merchant margin in particular, I'd say generally in line with what we expected. Again, when you layer in the acquisitions, look at some of the investments we're making, obviously, those were intentional decisions, both in terms of marketing, distribution and investments in new products and services. So overall, in line with as we expected, other than obviously taking the full year in terms of fully factoring in the acquisitions.
Operator: Next, we'll go to the line of Dave Koning from Baird.
David John Koning: Just looking at Merchant again, just the pure math of revenue growth of 9% in the first half and 12% guidance for the full year puts the second half at mid-teens. And I'm just wondering, I guess, a, if there was anything unnaturally low in the 9% for the first half? And b, if there's anything unnaturally high in the second half, really, what's driving that 6% acceleration? And is that the starting point really into next year? I mean that would be phenomenally good if that's kind of the beginning point into next year.
Robert W. Hau: Yes, David, I think a couple of things. I wouldn't necessarily point to anything "unnatural." One of the biggest drivers, of course, is last year, we had the impact of the transitory benefit of inflation and interest in Argentina, and that transitory benefit eased quite meaningfully throughout the 4 quarters last year and is actually now gone in 2025. And so on a comparison basis, each of the 4 quarters becomes an easier compare. And in fact, at this point, if you look at current inflation and interest rates in Argentina, they're actually below the 5-year average. Things have improved quite meaningfully. Ultimately, that's a good thing for us. A good macro environment in Argentina is good and things look generally positive there. Obviously, they're still in a difficult economic condition in terms of recession and whatnot, but that is a positive for us on a transitory benefit going away, but overall economy going away. Secondly, if you look at first half to second half, Clover becomes a bigger piece of the Merchant business as well as continues to grow. The second quarter was at a 30% revenue growth. We need approximately 30% on a full year to get to the $3.5 billion. That's a nice growth rate because it was growing last year. And so that gives an extra lift overall to the Merchant segment on a first half, second half basis just by continuing to grow at that 30-plus percent given good VAS and other benefits. The second half, we'll get more international expansion. Brazil is going well. That continues to grow nicely. That one of our 5 new countries that we expanded Clover to. You heard some of the partnerships, some of the ADP benefits, et cetera, all give accelerated growth. And then -- that's on the Clover side. In the enterprise space in Merchant, Commerce Hub continues to do well. We've got a number of very large enterprise clients that are expanding their use of -- i.e., they've sold up for Commerce Hub. They're now ramping that. And as they add more capabilities, more stores in Commerce Hub, that expands. We talked a little bit in our prepared remarks around the international expansion or the globalization of Commerce Hub, adding Latin America. We've got the first large enterprise client going live shortly on that expanded Commerce Hub capability and on and on. So we feel good about the opportunity to accelerate both in merchant as well as in financial solutions to get us from 8% in the first half of the year to 10% for the full year.
Operator: Next, we'll go to the line of Will Nance from Goldman Sachs.
William Alfred Nance: Bob, I just wanted to ask another question here on the Clover side. You've expressed a lot of confidence in the ability to hit the $3.5 billion revenue target in 2025. I know that you guys had some targets out for 2026 as well. I don't think you've addressed those. And if I look at where the Street is, Street, I think, is still comfortably below those targets, roughly 24% revenue growth next year. So just wondering if you can maybe address that and talk to the confidence in hitting that? And if not, the Street numbers are already kind of below it. Like what do you think is a reasonable revenue growth rate for a kind of low double-digit volume growth dynamic in Clover, given some of the initiatives you've got on the VAS and the capital side, but also maybe considering what seems to be a pretty strong year for hardware sales, which may be less reoccurring as we look forward?
Robert W. Hau: Yes. Thanks, Will. So certainly not updating 2026 guidance at this point, but I would certainly point to a couple of key things. First and foremost, we laid out the $3.5 billion goal for 2025 about 3 years ago, and we are exactly on track to deliver just that. We need to continue to do what we did in the first half to deliver the second half to get to $3.5 billion. Obviously, there's continued growth to get to the $4.5 billion. That's a number we put out about 1.5 years ago or so. But the things that we are doing now that help us deliver the $3.5 billion put us in a good position to deliver the $4.5 billion next year, things like the horizontal expansion with Homebase, adding ADP and CashFlow Central capabilities into Clover, the vertical expansion, adding Clover Hospitality, Rectangle Health for what we're calling PracticePay and a new health care vertical. The international expansions, we talked about the benefit of Brazil. We continue to see growth across all 5 of the new international regions. It's very early stages. So you're getting a little bit of benefit this year. That continues to accelerate into 2026 and beyond. And then we're also expanding our distribution channels with the announcement of the US Foods, for example, a new sharing partner, TD Bank, building out our direct channel. So absolutely online to deliver $3.5 billion, a number we set out 3 years ago and things that we're doing this year help us grow the balance of this year, second half as well as into 2026.
Michael Patrick Lyons: If you go back to Tien-Tsin's point, there's -- we are doing lots of things on the Clover platform across these 5 or 6 major areas to drive a business operating platform, not a point-of-sale payments device. And that's the mindset we're operating around it. So as we continue down the path of maturing Clover and bringing a solution to businesses to help them run their businesses better, every quarter we go, there's new and more interesting things that we can do around it. And we're just scratching the surface of -- there's a whole bunch of work streams as you think about the next level of Clover and the excitement around bringing more AI to Clover, whether it's in inventory optimization, smart menu builders, helping businesses manage -- optimally manage their staffing, how do you deliver better service and support to them. So it's an evolution, but I think the important takeaway is we're building a business operating system. The TAM in the United States, we're less than 10% penetrated there. We're almost 0 internationally. And we're going after an opportunity to help businesses run better, not some type of race on a point-of-sale software -- point-of-sale hardware, software device. So that's the approach we're coming at it with, and it's exciting. Clover is an incredible platform.
Robert W. Hau: And Will, just to add to that, overall, we talk about Clover's operating system. It's a payments, it's a software, it's a hardware solution. Your question about hardware being good growth this year, absolutely. Your comment about that will not likely reoccur, I'll generally disagree with. This is a hardware business with software and payments. First of all, we make good margin on our hardware. It is not something we give away. It's not a loss leader. And our hardware, if you look at the hardware revenue as a percent of overall Clover revenue, it's been relatively consistent in kind of the mid-teens range for a few years. We continue to invest in developing new hardware. We think we've got a best-in-class, world-class hardware, and we continue to build out that capability and provide that best- in-class hardware to our client base. So we think that continues to sell into the future.
Operator: And for our final question, we'll go to the line of Andrew Jeffrey from William Blair.
Andrew William Jeffrey: A question on Clover value-added services and maybe just the competitive environment. Bob, as you see more international expansion, some of the growth initiatives gain traction in Clover, is it possible that value-added services attach maybe dips before going back up again and just so sort of adoption of those services? And then just generally in the U.S., any commentary on the software integrated competitive environment? Is it stable? Is it changing a little bit at the margin? Any help there would be great.
Michael Patrick Lyons: Yes, it's Mike. Bob can come back in on it. Obviously, what I just talked about is continuing to serve as a business platform. We have to continue to build value-added services within the VAS book, and there's a tremendous amount of focus around that. Internationally -- in the markets we've gone into so far internationally, it's a less robust VAS portfolio. So it's both expanding internationally and building out the VAS on the international side. So hopefully, we see both of those grow over time, they should as the efficacy of the platform plays out with small businesses. So we're very excited not just in the U.S., but to really bring VAS to the external markets versus where it is today. And that's a hallmark of what Clover is. On the competitive landscape, we've got great competitors. I think our focus is going after businesses and helping businesses run their businesses better versus some type of competitive dynamic. There's great other platforms out there, whether in specific verticals or more broadly. And we think we've got a platform that can go globally, and there's plenty of TAM to go after on that front. So again, less than 10% share in the U.S., 0% share in the external markets. So the ability to penetrate and bring value-added to small businesses is -- we just feel like we're barely scratching the surface of that opportunity.
Andrew William Jeffrey: Yes. It seems like a big...
Robert W. Hau: Andrew, I think in terms of the VAS U.S. versus global, certainly, the U.S. business -- U.S. market is more mature in terms of the value-added services and software operating system capability. And it varies by country, by region across the globe as well as varies in our offering. So we've talked about this a little bit, Australia being one of our new Clover international markets is probably the most furthest along in terms of richness of the software available on Clover and other markets, we continue to develop that capability. And I think it is a market that will continue to expand as we bring more capability. Today, you don't see a lot of that taking place because it's not available. And so we see that as an opportunity going forward. If you think about software, maybe a little less so, but working capital support is much more of a global opportunity for us.
Michael Patrick Lyons: The comparable other market is Canada. And again, we're excited this morning to announce the partnership with TD to really build out and distribute Clover further in that market where we've -- as I said, we've generated really good growth over the last 5 years of being there with the constant increasing availability of that. All right. Thank you. And to all of those on the call today, thank you for your interest, and our IR team is available for any further questions. Have a great day.
Operator: Thank you all for participating in the Fiserv Second Quarter 2025 Earnings Conference Call. That concludes today's call. Please disconnect at this time, and have a great rest of your day.